Operator: Ladies and gentlemen, thank you for standing by. At this time, all participants are in a listen-only mode. Later, we’ll conduct a question-and-answer session. [Operator Instructions] I would now like to turn the conference over to Erik Bylin. Please go ahead, sir.
Erik Bylin: Welcome to ESS' Second Quarter Financial Results Conference Call. Joining me on the call today from ESS are Eric Dresselhuys, CEO; and Tony Rabb, CFO. Following management's prepared remarks, we will hold a Q&A session. Earlier today, ESS released financial results for the second quarter of 2023. The earnings release is available in the Investor Relations section of the company's website. As a reminder, the information presented today will include forward-looking statements, including, without limitation, statements about our growth prospects, partnerships, financial performance, and strategy for the remainder of 2023 and beyond. The forward-looking statements are subject to known and unknown risks and uncertainties that could cause actual results to differ materially from those projected or implied during this call. In particular, those described in our risk factors set forth in more detail in our most recent periodic reports filed with the Securities and Exchange Commission, as well as the current uncertainty and unpredictability in our business, issues with our partnerships, inflation, the markets, the economy and the current geopolitical situation. You should not rely on forward-looking statements as predictions of future events. All forward-looking statements that we make on this call are based on assumptions and beliefs as of the date hereof, and we disclaim any obligation to update any forward-looking statements, except as required by law. During the call, we will also present certain financial information on a non-GAAP basis. Management believes that non-GAAP financial measures taken in conjunction with US GAAP financial measures, provide useful information for both management and investors by excluding certain items that are not indicative of our core operating results. Management uses non-GAAP measures internally to understand, manage and evaluate our business and make operating decisions. Reconciliations between U.S. GAAP and non-GAAP results are presented within our earnings release. With that, I will turn the call over to ESS' CEO, Eric Dresselhuys.
Eric Dresselhuys: Thank you, Erik, and thank you all for joining us for our second quarter earnings call. Today, I'll review our financial results, operational progress, recent customer successes and the impact of the inflation Reduction Act. I'm joined by Tony Rob, our CFO. Our results for Q2 demonstrate the ongoing and rapid progress ESS is making across many fronts of the business. During last quarter's earnings, we shared quite a bit of behind the scenes detail to help those who follow ESS, understand what's involved in bringing our revolutionary technology to market. We have assembled a highly skilled and dedicated team, and they are working tirelessly to optimize the product design, improve the speed of manufacturing throughput and deliver a great product for our customers. We feel this quarter is another positive step on this journey. We delivered nine energy warehouses to four different customers in the second quarter. Importantly, we began shipments for the first phase of our relationship with Sacramento Municipal Utility District for what we expect to be a long and mutually beneficial relationship. We recognized a record $2.8 million in revenue, as we continue to make progress on deliveries and improve our revenue recognition process. Importantly, we maintain fiscal prudence and tightly managed our balance sheet and in the quarter with just under $100 million in cash and equivalents. We have continued to drive great progress, optimizing our internal operations, most importantly, sourcing components for our product and streamlining assembly and test processes. Our automated and semi-automated lines are performing well, and the effort we put into optimizing the injection molding, vendor and assembly technique has resulted in improved efficiency and consistency. As mentioned last quarter, we are implementing lean manufacturing techniques to continue to perfect the processes for assembly of our balance of system, and this is yielding strong results. While our capabilities to serve the long-duration energy storage market have the potential to make us a market leader, we have an engineering road map to further optimize the numerous components of our systems across the electrolyte, power modules, proton pumps and balance of system to improve energy density and field performance. We are innovating within the core components and IP, proton pumps and power modules to improve the capacity while we design further enhancements to the balance of system to simplify and speed assembly and maximize durability for transport and longevity. As a sign of our progress on these fronts, in the second quarter alone, we were granted 10 new patents and filed an additional 13. We now have a total of 238 patents granted, pending or in application. We feel confident that the moat around our IP portfolio will safeguard our iron flow technology approach for years to come. As we perfect our processes around our Gen 2 REV2 design, we lowered our build time by 29% and reduced direct costs by 30% in the second quarter alone. These are impressive accomplishments in a short time, and I am proud of the great work our team has performed to drive these improvements. We intend to continue to push on innovation as we lower costs and improve performance. We began 2023 with the intent to carefully manage our manufacturing output so that we could focus on optimizing design and assembly, and I am pleased with our results. Our team is aligned to maximize the assembly efficiency and quality of our products, while continually improving our processes to lower unit cost on our drive to profitability. While these are clearly steps to scaling a profitable company, they also allow us to deliver to customer needs in a more timely and predictable manner. Our customer-facing team is hitting its stride as well. To scale our ability to support deployments across the globe, the customer success team is building out its infrastructure with a CRM platform to expand our field service capabilities through knowledge sharing and enable deeper customer engagement to the customer portal. The team has reduced the time required to commission individual EWs by 70% compared to a year ago and is driving to take it down by another 30% to two weeks by the end of the year. On the new business front, we were thrilled to announce another transformative deal in the second quarter. Subject to finalizing the contract, which we expect this quarter, LEAG, a major German energy provider and ESS plan to build a 500-megawatt hour iron flow battery system, at LEAG’s Boxberg Power Plant site with design work beginning this year and plans to commission by 2027. This installation is expected to create a repeatable building block for LEAG to replicate across their energy infrastructure as they work to transform their power plants to clean renewable energy. LEAG operates many large-scale lignite mining and coal-fired generation sites in Eastern Germany and is implementing a vision to transform the coal-dependent region into Germany's green powerhouse. The company plans to develop seven to 14 gigawatts of renewable generation paired with 2 to 3 gigawatts of energy storage and 2 gigawatts of green hydrogen production. Combined, these technologies will create a net zero carbon baseload energy system. With the Sacramento Municipal Utility District, energy storage industries, Asia-Pacific and now LEAG, ESS has three transformational customer relationships with well-respected energy transition pioneers, each of which could generate significant revenue in the coming years. We congratulate ESI for the recent Queensland government announcement regarding the project with Energy Queensland. We are grateful that these forward-thinking customers put their trust in ESS as they embark on a path to a clean, sustainable energy future and believe their work will serve as a model for many others around the world. Although we are pleased with the improved pace of our deployments and gratified to the trust these leading operators are placing in ESS, we are keenly aware that launching new technologies in this industry is often a bumpy road. Last quarter, we mentioned the delay of an overseas project and although there has been good progress, we remain delayed with hope of resolution soon. Other legacy projects sometimes years ago, have struggled with the lease or project requirements have shifted. We try to keep everybody appropriately informed of our activities, but remain committed to abiding by our customers' requirements on disclosure. We've learned a lot over the last year and continue to improve our predictability and execution as we establish iron flow storage as the long-duration energy storage leader. As our recent announcement shows, our opportunities worldwide are expanding rapidly. Here in the US, we continue to actively engage in the implementation of the Inflation Reduction Act, the Bipartisan Infrastructure Bill and various state-level initiatives to accelerate the deployment of energy storage. These are large initiatives and the pace of activity isn't as fast as I'd like. That said, we're very encouraged by some of the recent IRS guidance on domestic content, which strongly favors companies like ESS, which actually build battery modules here in the US as well as the DOE's recent announcement on the energy storage brand challenge, which we hope will accelerate implementation of the many initiatives in the Infrastructure Bill and the IRA. On top of those national efforts, many seats are taking action. As an example, California has just included over $170 million in additional incentives for energy storage in its budget, and we hope to see similar efforts across the country. And with that, I'll turn it over to Tony to cover our results.
Tony Rabb: Thank you, Eric. Unless otherwise noted, all numbers we discuss today will be on a non-GAAP basis. You will find a reconciliation of GAAP to the non-GAAP financial measures in our earnings release, which is posted on our Investor Relations website. We recognized $2.8 million in revenue in the second quarter, and we delivered nine energy warehouses to four customers. As we discussed last quarter, we've made tremendous progress with our revenue recognition process. During the remainder of 2023, we expect to recognize revenue on control of the energy warehouses are transferred to the customer. Under the contractual shipping and transfer terms of most of our newer contracts, revenue recognition could occur as soon as the energy warehouse is picked up by the customer from our dock in the case of ex works terms or upon delivery to the customer site in the case of delivered at place or DAP terms. We expect these kind of terms to apply to all of our deliveries during the second half of this year. We remain under development accounting rules in Q2, so the material overhead and labor costs we incurred in producing the products we've delivered fall into OpEx, resulting in zero cost of goods sold. We have also determined that we will be transitioning out of R&D accounting and into commercial inventory accounting in the third quarter, so we will be reporting our cost of goods separately from our operating expenses. Our non-GAAP operating expenses for Q2 were in line with our expectations at $24.3 million. With that, we reported Q2 adjusted EBITDA of negative $20.5 million. We ended the second quarter with $99.5 million in cash and short-term investments. We will continue to effectively manage our cash burn rate in the coming quarters and the cash on hand should last us well into 2024. With the continued operational progress Eric discussed, we were able to reduce the direct variable cost of our EW’s by 30% in the second quarter related to the benefits and results of our cost-out initiatives. With that progress and the additional ongoing and future cost out initiatives we are planning, we continue to expect EW’s to be profitable on a non-GAAP gross margin basis in the second half of 2024. We expect the average of our quarterly revenue for the second half of the year to be similar to our second quarter revenue. However, we may experience some variability in our quarterly revenues due to timing of completion of various customer projects until we reach greater scale. In addition, we expect our cash burn rate to be similar to or slightly below what we experienced in the second quarter as well. This aligns with what we have stated previously, about curbing our production volume levels to mitigate our cash usage while progressing on our cost reduction and efficiency improvement initiatives. And with that, I'll open it up for questions.
Operator: [Operator Instructions] Our first question today comes from the line of Thomas Boyes from TD Cowen. Please go ahead, Thomas. Your line is now open.
Thomas Boyes: Thank you very much for taking the questions. Maybe the first one, just talking about kind of expectations for revenue for the balance of the year. It sounds like the end of the whole approach here is just to do as pretty as possible while you continue to make gains on the cost side of the equation. There's no limiting factor here around access to components. I know a couple of quarters ago, obviously, there were some challenges, and you've gone through the process of onboarding new suppliers. So I was just wondering how that process is going, those vendors coming online still in the second half of the year?
A – Tony Rabb: Yes. This is Tony Rabb. Thanks for that. So we continue to make progress with our vendors and the constraints that that we've put in place are primarily based on the fact that we wanted to curb production to minimize our cash burn as it relates to the material cost on the Ew’s and while there are intermittent types of supply chain and vendor type delays, a lot of that has been mitigated, but it is something that we continue to deal with. But it's progressing nicely.
Thomas Boyes: Got it. And then just as my follow-up. I kind of -- I wanted to check in on the revenue recognition of the legacy units. I saw deferred revenue declined to June around nine units, but I'm sure, I wasn't sure if those were the nine units that were shipped this quarter. Just any color that you could provide there would be helpful. And then maybe just what is the current rev-rec timing for the units that were kind of shipped this quarter? Is it still intra-quarter or are we in intra-quarter or where in that?
Tony Rabb: Just so I'm understanding your question regarding the first part, were you referring to just the change in the balance and the deferred revenue?
Thomas Boyes: The -- well, first, it was just around the revenue recognition of the legacy units, those kind of first three to five units that had gone out that were the ones that were kind of the challenge. And then I was just trying to better assess that the nine units that were shipped and delivered today were also the nine units that are about were recognized as revenue. quarter there still again a time delay?
Tony Rabb: Yeah. Look, we're not going to talk about specific customers in terms of the units that were shipped. But I will say that we feel like we've resolved the revenue recognition challenges that we've been facing. And we do anticipate that the customers that we make deliveries to do within the second half of the year, those will all be under our updated and newer contract terms and conditions.
Thomas Boyes: Great. Thanks.
Operator: Thank you. Our next question today comes from the line Colin Rusch from Oppenheimer. Please go ahead, Colin. Your line is now open.
Colin Rusch: Thanks so much. I'm curious about the assembly strategy going forward. You've been able to announce a couple of different avenues to having central manufacturing on core components within local manufacturing and other elements of the systems. Can you talk a little bit about how you plan to replicate that and how much that's contributing to some of these potential customers or the existing customers that you have right now?
Eric Dresselhuys: Sure, Colin. Thanks for the question. Eric here. I'll take that. You're right. I think for the foreseeable future, we anticipate building all the battery modules in Wilsonville, it's very efficient for us to do that in a central location because of the automation requirement. And of course, we like building those in the US because of the PTC implication that we get with the IRA. On the systems side, for the very near term, we expect to build those units also in Wilsonville, and we've got plenty of capacity to do that to meet our near-term delivery needs out of that facility. And we've announced the project with ESI to eventually start building balance of system in Australia. I expect that, maybe not out of the blocks, we'll look to Europe to do that as well in the future simply because it's more efficient to do the assembly and not ship completed units overseas when we can avoid it. But to get to that, we want to get to some level of volume, and we want to perfect the repeatability of the process that we're doing here in Oregon.
Colin Rusch: Excellent. And then if you look at the fleet of systems that are out in the field right now, can you just speak to the performance relative to nameplate and what you're seeing right now in terms of how those systems are operating relative to expectations?
Eric Dresselhuys: Yes. They're generally working well. The one thing we've learned a lot about is how customers use the battery, which isn't always in the straight linear, turn it on, charge it up, discharge it all the way, way that you would expect. So one of the things that's been really interesting is to see the usage patterns. We've had some great results in places where units are deployed, where they're now fully integrated in with the micro grid operations. And so as the customers are experiencing power outages, the units are dropping right in immediately recharging the customer site. But one of the things we're hoping now as we start to increase the unit shipments is to get more and more units out in the field and operating because we're learning something new every time we go to the field.
Colin Rusch: Excellent. Appreciate it. Thanks so much.
Eric Dresselhuys: Thanks, Colin.
Operator: Thank you. The next question today comes from the line of Corinne Blanchard from Deutsche Bank. Please go ahead, Corinne. Your line is now open.
Corinne Blanchard: Hey, good afternoon. Thank you for taking my question. So maybe just in actually to focus more into the medium-term or long-term, like maybe what – maybe if you can talk a little bit about what we should expect for 2024 and 2025 in terms of maybe the energy warehouse and the energy center that I believe, was supposed to come maybe back later on next year. Just trying to get an idea basically where you want to see the business going over the next 18 months and 24 months?
Eric Dresselhuys: Yes, Corinne, thanks for the question. We have not given any guidance yet for 2024. We certainly expect, as we've said in the past, that we'll continue to ship at a more modest pace. As Tony said, roughly at the pace we're doing right now through the end of this year. And then we'd expect, as we get into 2024 and beyond and we get to the cost point on our cost of goods that we're targeting that we would then feel more comfortable ramping that up. And then, of course, the EC, as you mentioned, is a big part of that as well. Our ability to ship energy centers and core components, we see ramping up in the later part of next year, but we haven't put a number to it at this point.
Corinne Blanchard: Okay. Thank you. And then maybe the second question curious on cash burn, right? Except that maybe [indiscernible] out on the production. Like is there anything else you intend to do? Like do you expect to go on the market and data equity or what's the plan here?
Tony Rabb: Yes. It's Tony. Thanks for that question. Look, we're always going to be considering any ways that we could add to and strengthen our balance sheet as long as we can do that on favorable terms. At this point, we are very comfortable with our cash balance and our cash burn rate where we are and the fact that the cash balances that we have on hand and our expected burn rate would get us well into next year. And then the appropriate times we will highlight the folks exactly how and when we plan to supplement that.
Corinne Blanchard: Thank you. I appreciate. I would take the rest of my question off-line.
Operator: Thank you. [Operator Instructions] Our next question today comes from the line of Lean Hayden [ph] from Canaccord Genuity. Your line is now open.
Unidentified Analyst: Good afternoon, everyone. Thanks so much for taking my question, and congrats on the quarter. Just to start, can you please help us understand the level of customer interest you're currently seeing in the marketplace? And what projects you're being invited to bid on currently?
Eric Dresselhuys: Sure. I'll take that, and thanks for the question. It's really a variety. Mostly what we're seeing now is the strive to -- in terms of the front of the meter business, drive to green base load. What's becoming increasingly clear through all of the regulatory mandates, the 12 or 13 states now in the US that have come out with specific targets is the need to create 24/7 green energy. And so that's been the biggest driver of the project at LEAG that we announced, it's interesting in German, you have to do the translation, but they call it green base load, which is how do you replicate what you used to get out of coal fire or a combination of coal and gas to create a 24-hour, seven-day a week base load. And then the second driver that we're seeing in the behind the meter business is really all about resiliency. We're fortunate that the West Coast has been spared this year from some of the worst weather that's going on. But if you look across the rest of the country, power outages and grid resiliency are really getting pressured. So we're seeing a lot of demand from large commercial industrial customers who, of course, have an interest in decarbonization, but are really focused on resiliency and reliability as their primary driver. So in some cases, those are paired with renewables on site. But in other cases, some of the projects that we've announced and I think of things like the Burbank project as a good example, some parts of the slug project are really just designed towards resiliency and reliability, how can we make sure that we're going to have power in this world where we're going to rely more and more on electricity as the fuel that drives the economy.
Unidentified Analyst: Okay. Great. Thank you very much. And just a second question. Do you still intend to become non-GAAP gross margin positive over the next 12 to 15 months, or has that time line changed? Can you offer any color on that?
Tony Rabb: Yeah. Hi, it's Tony. Our time line is that we still expect to be non-GAAP gross margin positive in the second half of next year. We've got a number of ongoing initiatives that we're making very good progress and a number of additional projects and initiatives that we'll be launching later this year that are going to progress us towards achieving that objective in the second half of next year.
Unidentified Analyst: All right. Great. Thank you both so much.
Operator: Thank you. [Operator Instructions] The next question today comes from the line of Davis Sunderland from Baird. Please go ahead. Your line is now open.
Davis Sunderland: Hey, guys. Thanks for taking my question. Just one quick one for me. You talked a little bit about the state initiative from California having a specific carve-out or stationary storage, and I think particularly long duration energy storage, could you maybe talk about anything you're seeing outside of IRA maybe in Europe, Australia or maybe any incentives you guys could be getting from a LEAG project or anything else? Thanks.
Eric Dresselhuys: Sure. Thanks, Davis. Thanks for the question. It's frankly a lot, but it's not one thing. So you're right. The IRA is the single largest initiative in terms of incentives that's driving the business. As we get more and more IRS rulings, we expect that to continue to gain traction. Of course, there is also money on a federal level in the infrastructure build that's starting to come through and get realized in actual projects. You've got states -- specific states. Some states are like California, putting the $170 million, you're correct, is specifically targeted towards long-duration storage. And that gets combined in California with a mandate that the public utility commissions put out to all of the load serving entities to hit certain targets by 2030 and then to further targets that go into the 2030. If you look around the world, the incentive structures because it changed a little bit based on what the regulatory structures are. So if you look in Australia, as an example, they don't have an IRA equivalent. They just do it as grant money. And the project that ESI announced last week was actually announced, if you saw by the state of Queensland who is the sponsor, and they're the one that puts the bill because we have a vertically integrated market in Queensland, Australia, that will be a little bit different in some of the other states because of the market structure. And then finally, in the case of LEAG, there are a number of different pools of money that exist in Europe to help defray the cost of what's known as the kind of the green premium to help with capital reductions, but they are more on the kind of branch model. So the utilities, including LEAG or others would apply for the grant and then use those as CapEx reduction. It's not a tax-based incentive the way it is here in the U.S. So I know it's a lot to manage. What we like to see is the combination of the regulatory mandate plus a financial mechanism, whether that is a tax mechanism or is a grand mechanism to help defray cost, and we think that's the thing that's going to start to really accelerate the deployment.
Davis Sunderland: That's helpful. Appreciate it. Thank you very much.
A – Tony Rabb: Thank you
Operator: Thank you. [Operator Instructions] No additional questions we see at this time. So I'd like to pass the call back to Eric Dresselhuys for any closing remarks.
Eric Dresselhuys: I'd like to thank everybody for joining the call and for your support. We're making great progress, as you saw this quarter and are excited to come back to you in another quarter and give a further update as we build what we think is going to be a very transformative and meaningful business in the world of energy storage. So thank you again for your support, and have a safe and pleasant evening. Thanks, everybody.
Operator: This concludes today's conference call. Thank you all for your participation. You may now disconnect your lines.